José Pedro: Hi, good morning everyone. Thank you for making the time and joining the call. As Miguel mentioned, let's go through a couple of highlights from the quarter and then happy to put up any questions you might have. I mean three fundamental questions for the quarter and also building on our previous quarters. Firstly, and I think very importantly, our focus on strategic execution and operational discipline remain very strong and I think we see that in the quality of our services and the positive operational momentum that we are showcasing. That reflects obviously in a very strong quarter in terms of telco performance, both on the B2C and B2B sites, but we'll go a bit into more detail in a while. And then finally, in terms of free cash flow, not only our free cash flow is boosted by our operational performance, but also by a couple of one-off effects that we will go into a bit more detail afterwards. With that in mind, let's go into our telco performance. Just to give you a quick overview and highlight the main numbers of the quarter, revenue wise, we grew at 4.7%, which reflected in an EBITDA of 4.8% growth and EBITDA per leases of 3.8% growth to €156 million. The slight difference between those reflects increase in costs on the lease side, which is driven by more units in terms of towers and also a slight increase in the unit price of those. On the CapEx side, we continue the trajectory that we've been posting in the past quarters, namely with a reduction of 5.1% in total CapEx. I will also review the average of the numbers in a bit. Overall, in the bottom line, our underlying net income increased by 9.3% and underlying free cash flow grew at roughly 18% for the quarter. In terms of return on capital employed, which is a metric that we pay very close attention to, we are today at the end of the quarter at 12.7%, a good 2.2 percentage point increase for the quarter year-on-year. Let's go a bit into the revenue perspective. As you see here, our consolidated revenue grew at 4.7%, as I mentioned before, with the telco posting a 6.1% increase and the audiovisuals and cinema business delivering slower-than-expected numbers for this quarter. This was mostly driven by the calendar of the blockbusters that we expected for the quarter, and we postponed for follow-up quarters. Although we are already seeing in some of these blockbusters, namely Inside Out 2 very positive numbers this quarter. We expect us to be able to recover throughout the year the numbers that we expect to drive. On the B2C side, we continue to see very good value management, particularly on the post mobile side. Pricing is also helping the growth and our continued push towards convergent offers. Day-to-day already represent roughly 70% of the residential connections and we continue to see very positive momentum there. On the B2B side, a very solid performance this quarter, 8.3% growth overall in the segments. In all the sub-segments, we continue to grow, particularly this time in the corporate side, the higher company segment. Very sound recurring revenues growth, although also some growth this quarter on projects and resell. We see that also having a very positive momentum. And finally, on the wholesale side, we also had very strong growth in the 17% range, a lot of it driven also by mask hauling services. So when we look into our EBITDA performance, again, very interesting growth at 3.8%. Overall margin remains fairly stable despite the weight of the poor performance in the audio visuals and entertainment, but overall still at 38%, very, very robust margins. In terms of CapEx, as I was mentioning, we continue the downward trends. As you might see, our expansionary telco CapEx reduced by 40%, so very significant decrease in line with what we've been communicating and expecting, namely by phasing out the 5G program. On the telco customer side, we've seen a bit of increase mostly due to more CPE refurbishments. So it's something that we were expecting in terms of performance overall. Finally, in terms of decomposing some of the components of our EBITDA of operational cash flow, as I mentioned before, some effects on the leasing side, an increase of 10%, roughly again, as I mentioned, by the number of units. On the OpEx side, a couple of effects. Firstly, in the direct costs, the growth that we've seen in the B2C side and also -- in the B2B side, apologies. And also on some equipment sales in B2C drove cost of goods sold up mainly through these equipments. On the B2B side, we also see, again due to growth, some increase in IT costs and some rental costs. On the non-direct side, energy costs as expected rose in the quarter compared to last year. An important effect on this was not only the unit cost, but also some regulated tariffs that have increased in the meantime. So our expectation is, again, on the regulated side for those to maintain, but the unit cost of energy, what we're seeing in terms of futures should drive down a bit the pressure going forward. Again, I would like to highlight that on this side, our transformational program that we are still very focused on has been able to mitigate a significant amount of the inflationary pressures that we face, namely on the people side. So in everything related to customer service and operations, we've been able to have a very good performance. Very quickly, in terms of FTTH coverage, we've increased by 8 points overall the coverage with an increase roughly in total households of 80,000. And on the 5G side, we continue to push and finalize, if you like, the 5G program, which we live in Portugal in terms of coverage, reaching now-a-days virtually the whole population at 96.5%. In terms of RGUs, a bit of the same trend that we've been seeing in the past quarters, namely the prepaid, we continue to push to the convergent side, so pushing some of the prepaid RGUs to postpaid. On the pay TV side and broadband side, we see some continued momentum still with our satellite business being put in a way to fix broadband and pay TV. So this is where we fixed FTTH, I mean. So that's where you see some of the decrease again. I mean, cinemas, as I mentioned before, suffered from timings of some of the blockbusters. So overall, 35% decrease in the number of tickets sold and with a reflection of 30% in terms of revenue. And then finally, when it comes to financial performance, our net income grew by €35 million this quarter, mostly due to the sale of the towers. I would also like to highlight some variations on the D&A, mostly driven from some policies in terms of IT and some network depreciation rules internally. On the free cash flow side, again, underlying free cash flow growing at 18%, but if we take into consideration both the activity fees and the solid sale, we have a total increase of roughly €99 million. Again, on this side, what we see on the underlying free cash flow, mostly an impact in terms of interest, which we expect to stabilize and slightly start to decrease as you go along. Here, we still have an effect from last year in which rates were still going up. Now they are fairly stable as we see in this page. In terms of average cost of debt for the quarter, we were at roughly 4%, 4.06%. Again, this will gradually, depending on the way interest rates evolve will slightly lower. Overall, very strong balance sheet at 1.71 net financial debt-to-EBITDA after leases, well below our strategic funding target of 2x and our liquidity position at roughly €330 million, so quite comfortable with the band ahead. With that, I would end the presentation and maybe hand over for some Q&A.
Operator: [Operator Instructions] We will now take the first question from the line of Nuno Vaz from Bernstein.
Nuno Vaz: I have three from my side. They're all quite a bit strategic. Two on mobile and one just on the fiber rollout. First one on mobile, you've once again had a quite good performance in terms of postpaid net adds this quarter. I understand this is driven by the 5G investment, but could you explain what the average consumer sort of sees in their day-to-day that in your view makes them switch to NOS? Do you think you have a significant advantage in terms of speed and just reliability versus your competitors at this point? And then second question also on 5G, but specifically on the mid band, because latest we've seen from the regulators about half of the active 5G sites are mid band versus low band. Do you think your advantage on mid band is even higher than your competitors? What sort of the rollout, if you can talk about it, in terms of mid band 5G? Do you have it enabled in all the sort of cities, urban areas in Portugal? Is that the ultimate goal? Is there more still to roll out? Finally, just very quickly on the FTTH rollout, because I was surprised when it was mentioned that the network sharing agreement with Vodafone has not started yet, because I had assumed that was the reason for the speed up in HomePass in the latest quarters. Is there anything we can expect to change in terms of the pace and potentially CapEx once this sharing agreement starts in the second half of the year?
Miguel Almeida : So going into your questions, maybe going firstly on the mobile side. In terms of convergent push, well, yes, so firstly, definitely we have the strongest 5G network in Portugal. So we from the older studies that we have, the clients perceive that increased quality aspect. And so they are that obviously creates a good momentum especially when we push our convergence. So clients are more willing to bundle up and to push into complete offerings within our landscape. So that's the large majority of the move into postpaid. Going maybe on the FTTH side, you mentioned a couple of aspects and the surprise around Vodafone or the agreement. So on that front, we continue to expand our FTTH presence, be it through sharing agreements or in our own, if you like HFC networks or building out over those. This quarter, as you've seen, we have a total increase in the overall landscape of 77,000 households in the total footprint. And we have -- and I don't know maybe you need to clarify the question on the Vodafone swap. We have two agreements, as you know, one that is already in place and the second one that we recently announced the 1.1 million additional household, which will play out in the upcoming years. So we continue to have that plan in place and we continue to look for opportunities for other ways to expand FTTH.
Nuno Vaz: Just to clarify on the FTTH question, because my thinking is that the first deal with Vodafone had already finished. And that you had -- the second one had been already active and that might have explained the accelerated pace in the FTTH rollout. So fundamentally, the question is once the second deal with Vodafone starts in the second half of the year, would the FTTH HomePass accelerate even further? Or potentially easier to ask if you have any target of where you see, for example, at the end of 2025, the percentage of HomePass being FTTH. Is it fair to say a number like 90% would be FTTH by 2025?
Miguel Almeida : Yes. I think that will be fair to say. It's our expectation. I would like also to highlight that besides Vodafone, there are other third party players in the market, and we are actively exploring efficient ways to expand our FTTH footprint. So besides Vodafone, we explore the expense of our network throughout those players as well.
Nuno Vaz: Can I ask very quickly, because ANACOM forced [LT mails] to open in some smaller rural municipality access to their network. Is that already included in this? Do you have access and is this already included in your numbers?
Miguel Almeida : No. This is not included. None of those assets.
Operator: We will now take the next question from the line of António Seladas from AS Independent Research.
António Seladas: I've three. First one is, if you can comment on your performance over the second half. I know that, you don't like to talk about it. Nevertheless, taking consideration the current environment, it seems fair to expect the kind of excess performance in second half similar to the first half. But maybe I'm just missing some caveats, some aspects that could undermine our performance. In fact, you just mentioned that the energy cost could be lower. Second question is related with cinema and cinema turnover. There has been some volatility in turnover on a quarterly basis. I don't know if you are considering some cost reductions and fixed cost reduction or not. And last question is like with the traction on your offers related with broadband plus mobile, just without pay TV. How it is performing or are you noticing any traction increasing or not? I don't know if you can comment on idea of also to offer pay TV at least according to the price. If you could comment on this.
Miguel Almeida : Maybe let's go one-by-one. Firstly, in terms of performance for the second half, our expectation is to keep the momentum that we've been posting in the past. The underlying drivers are there. We don't have any particular information regarding new competitors in the market or timings for their entrants. Until further notice, our expectation is to keep throughout the year the same momentum that we have. Then on the cinema side, obviously, it's a business that has a bit more volatility again due to the drivers of the business winning the ones that affected us this quarter. Naturally, we're always looking into opportunities for cost reduction and to improve this activity. As an example, driven by this lower attendance volume, we've taken the opportunity to optimize HR and personnel at the cinemas. We took the opportunity as well to push some refurbishments that were due, to ensure that by the time that the business is not picking up again in terms of attendance, we are able to maximize that attendance and have the lowest friction possible for our customers. Overall, within the transformation program that we have running, naturally cinemas are also within scope and we are actively looking for opportunities to do so, namely pushing digital sales, which lower our fixed costs through our app, which they account already for more than 50% of sales and other operational efficiency measures. Finally, in terms of broadband and mobile, in terms of expectations, we haven't seen I mean, it's the numbers we posted this quarter and the previous quarters. There's a positive momentum. Again, on the mobile side, mostly on convergence due to the value that we are able to deliver to our customers by bundling up. On the broadband side, we haven't seen any relevant change in the trends. So those continue to be positive in our view, especially in a market that has such a high penetration as ours. Maybe finally, on the DG side, I mean, we have no information on those aspects. So we just have the public information, which is fairly limited. So nothing to add there.
Operator: We will now take the next question from the line of José Antonio Suárez from CaixaBank.
José Antonio Suárez : Congratulations for the results. If I may have a couple of questions. One is related to previous questions regarding the expectation performance in the second quarter, if you could provide a little bit more visibility because you have like an EBITDA growth in the first half of 5% -- 5.5%, then it – thus this was dragged down by the evolution of seminar, which should be a little bit more positive in the second half. So do you think that this 5.5% could be a good reference for the EBITDA growth of the year? Or do you expect a slightly weaker evolution in the second half that could drill down a little bit this growth of 5.5%? This would be my first question. And then the second one, it's related a little bit in terms of expected dividend because I was wondering if you could provide a little bit more visibility what are you going to do with the cash in from the sale of the Cellnex Tower, if you're going to distribute an external dividend in 2025 as you did in 2023 with the sale in the previous year? And if you're going to do this distribution of the external dividend, if you would add the activity fees circa €60 million, €70 million from ANACOM, if you would add it in the extraordinary dividend?
Miguel Almeida : On the first one, I understood it, if we -- a little bit of noise in the background.
Operator: Antonio, can you put your phone on mute. I think it’s interfering.
Miguel Almeida : So regarding EBITDA activations performance for the rest of the year, I would say that the fundamental trends that we've been seeing are the ones that we expect to maintain throughout the year. Without having a specific guidance to provide, on the revenue side, we continue to see this positive trend, especially in the segments that we've mentioned both in B2C and B2B. On the cost side, we again -- with the -- I would say with the highlight of the energy costs, which obviously have some volatility embedded and have increased vis-a-vis the past. We expect the same drivers to keep in the same proportion. And then on the CapEx side, as we've been commenting, we expect continue our downward trend. So we don't expect any particular changes in the magnitude of results that we've been posting in the recent past. Regarding dividend, as you know, we are committed to a sustainable dividend policy, but this is a fundamental Board decision. This is something that the Board will have to decide in due time. We don't have any specific comments at this point to provide.
Operator: We will now take the next question from the line of Ajay Soni from JPMorgan. Please go ahead.
Ajay Soni : I've got a few. Just firstly on your lease costs. I think you said they're around 10% high this quarter. I'm just wondering if that kind of rate of growth should be expected into 2025. I understand quite of that is inflation, quite of that is going on to more towers. I'm just trying to understand how that going forward into 2025. The second one is around your CapEx drop off. I think it's obviously really clear, where we get that CapEx drop off coming from. I just wanted to understand, is there any inflationary pressures on the remainder of the base, which you don't expect to come down from the expansion CapEx. Just the remainder of the CapEx space, is there any inflation pressure you're seeing there? I just kind of highlighted there are inflation pressures with wages. If you could just give some general comments on maybe the competitive and pricing environment within the region, that'd be really helpful as well.
Miguel Almeida : On the first one regarding lease cost, there are two effects on this increase. The first one is the number of sites that we have in the base. As you know, we throughout the time, we've been selling some sites to some small portfolios to Cellnex and this reflects that increase in units. On the second hand, there is, in fact, a small increase on the unit price, which is always capped to 2%. These two factors combined represent the amount that we've posted. On the CapEx drop off, I'm not sure I understood your question, but mainly trying to build on that. We've been again -- on the network expansion side, the reduction comes mostly from the phase out of the 5G program. So the large majority of the rollout is done. Again, we continue to do network on the fixed side network expansion. That is in line and the level that we have today is the one we expect to keep up in the upcoming months and quarters. On inflationary pressures, yes, naturally, there are some inflationary pressures on the CapEx side, mainly in IT and some of the operations that we have on the network. Through our transformation program, namely artificial intelligence, we are trying to push for smarter ways to address some of those issues and reduce those costs. We're very bringing a lot of attention to that, but we expect them to increase at a slower rate than inflation and obviously revenue side as well. Finally, in terms of pricing environment, the market continues to be quite rational. We haven't seen any changes in the dynamics themselves. Again, on the B2C side, there's a particular dynamic, which is very connected to inflation itself and to the ability that we have to increase prices. On the B2B side, we don't have the same regulatory ability to do so. But still, we see positive price increases also due to inflationary pressures that overall the system in the market is having, and we are able to push that to our clients. So but besides those, that were the same in the previous couple of quarters, we haven't seen any particular changes.
Operator: We will now take the next question from the line of Mathieu Robilliard from Barclays.
Mathieu Robilliard : I had a few questions. Actually one is a follow-up from the previous question with regards to the trajectory of the lease costs. The way I would ask you this, you have sold another small portfolio of antennas or towers as you highlighted. Would that also have a further impact on the trajectory of the lease cost? And if you could quantify that going into 2025. The second question was about your mobile network strategy. And I'm trying to understand besides the 5G upgrades, if you are expanding the number of towers in absolute terms? And what is driving that if that's the case? Is it a growth in data traffic? Or is it more a question of coverage? And if I can follow-up, I'd be curious to know what kind of data growth you're seeing on your whole network. Is it still growing fast? Or is it decelerating as we've seen in other markets? Another question on energy. I don't know if you can share with us what is kind of the average price per hour per megawatt that you're paying or at least how it evolved year-on-year? And very lastly, on the competitive environment, as we've seen the deal between Vodafone and Nowo has been blocked by the antitrust. And I guess my question was, how has Nowo behaved in the market since that deal was announced? Were they aggressive, less aggressive? I'm trying to understand if they could change tune now that this deal has been blocked.
Miguel Almeida : I'm not sure I fully understood the second question, but if you allow me, I'll go through the other ones and then maybe we can come back to that if I -- if you're not able to capture what you needed. So on the lease costs, so yes, the sale that we just did in terms of sites will impact the lease costs going forward because these are additional sites that become live throughout time. And as we ramp up the usage of those, we will have increased lease costs from that side. Again, on the tower side -- on the 5Gs and coverage side, I'll try to answer, but then we might clarify. The work that we've been pushing in terms of coverage remains essentially the same. There's a couple of sites in quite remote locations that we are still building out, but we are far ahead in terms of timing than the program that we have in place to deliver those. We don't see abnormal growth in terms of demand on the network beyond the one that we would expect in other markets. So the natural growth that we see from consumers in terms of data is there. But in terms of capacity, we have a very comfortable position and we don't expect any need to reinforce capacity in the near future. On the energy side, we don't provide specific guidance on those elements. The only thing that I'm able to elaborate is on what you see on the OMIP, on the Iberian market in terms of unit costs. In terms of futures, we expect to gradually decrease, although we see on the spot market some lower costs than we have in place. We are actively looking into opportunities to lower those costs. Again, there's a relevant component of this, which is regulated tariffs that in the past couple of years were quite depressed and now the regulator has pushed those up. We will need to incorporate that into our energy cost, but there's nothing we can do on that front. Finally, on the Nowo side, I mean, as you know, Nowo has a very limited impact on the overall market, because they are geographically constrained. In the past, they've been quite dormant, I would say, in terms of competitive dynamics. We haven't seen any change in that since the news that the deal was not going forward with Vodafone. Nothing really relevant to add there. From the recent numbers from ANACOM that were published, they are still losing market share, both on the fixed side and the mobile side. We haven't seen any reactions since then.
Mathieu Robilliard : Now you did understand my convoluted question on data.
Operator: We will now take the next question from the line of Fernando Cordero Barreira from Banco Santander.
Fernando Cordero Barreira : The first one is related with the B2B segment. I'm interested in understanding which are the major drivers behind the growth that you are facing on this segment? And you have commented that the big corporate sub-segment is the one with the best traction right now. But I would like to understand if you are obtaining that growth from increasing the share on the share of your wallet in the existing customers or are you gaining new customers? At the end, which are the services that are driving the growth, if are those related with connectivity or are those more relatively valuable services on top of connectivity as well? And also if you can point us a little bit of what do you expect in terms of these trends going forward in the B2B segment? The second question is related with the B2C segment. I would like to understand in the areas, where you are having already an overlap cable and fiber network, if you are already fully prioritizing the gross adds into the fiber network? Just to understand, if you are still including new clients or having gross adds in the cable network?
José Pedro: Regarding the B2B segments, what I think the easiest way to explain is that, we're growing essentially in share of wallet and in tech rather than telco in the large corporate segment. We're growing essentially in market share both in the mid-market and SMEs. Going forward, we expect this structural trend to continue and even to be and even to be slightly reinforced in the sense that we're fine tuning our machines to make this growth effort both in tech and in telco more efficient.
Miguel Almeida : On building out on the B2C side, we've been as you know, we've been pushing the expansion of FTTH to ensure that we have a future proof network. We haven't been explicitly migrating clients on from the HFC to the FTTH network because the technology that we have allows our clients to have FTTH like experience. But we are increasingly installing the new clients on the FTTH network for two reasons. Firstly, because we are expanding into the areas in which we didn't have a presence. So those naturally we're putting on the FTTH network itself. And then for other clients that have specific needs or on higher bandwidths, we install them as well where we have overlap on FTTH. But again, in terms of the overall performance, HFC is still delivering very good performance for our customers. So we expect that to continue in the near to long-term.
Operator: We'll now take the last question from the line of António Seladas from AS Independent Research.
António Seladas : Sorry to come again. It's related with your performance attributable in the second quarter. You explained on your press release. But as it was not clear for me if that was your performance was non-recurrent event or it seems more recurrent so, in the sense that the next quarter performance will be similar. Maybe you can explain.
José Pedro: I think most of it was the most expression in revenues is the highly fluctuating, a mask hauling services business.
Operator: There are no further questions at this time. I would like to hand over to the speakers for closing remarks.
Maria João Moura Landau : Okay. Well, thanks once again for listening into the call. If you want to follow-up with the IR team, we're always available. And have a great summer.